Operator: Good day and welcome to the Cedar Fair First Quarter Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Stacy Frole. Please go ahead.
Stacy Frole: Thank you, Cynthia. Good morning and welcome to our first quarter earnings conference call. I'm Stacy Frole, Cedar Fair's Vice President of Investor Relations. Earlier today, we issued our 2017 first quarter earnings release. A copy of that release can be obtained on our website at www.cedarfair.com under the Investor's tab or by contacting our Investor Relations offices at 419-627-2233. On the call this morning are Matt Ouimet, our Chief Executive Officer; Richard Zimmerman, our President and Chief Operating Officer; and Brian Witherow, our Executive Vice President and Chief Financial Officer. Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from those described in such statements. For a more detailed discussion of these risks, you can refer to filings made by the company with the SEC. In compliance with SEC regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Now, I will turn the call over to Matt Ouimet.
Matt Ouimet: Thank you, Stacy. And thank you for joining us this morning. As you'd expect our main focus during the first quarter is to prepare our seasonal parks for opening. Not very firm, our year around park in Southern California is our only park with meaningful first quarter operations. And with summer fast approaching as of today, we have eight properties in operation and our flagship park Cedar Point is set to open this weekend for its 148th operating season. We will keep our prepared remarks brief this morning because as noted in our release, our first quarter operations represent less than 5% of our expected full year net revenues. As such, we would caution that our results in the first quarter are not indicative of performance for the remainder of 2017. Additionally, our first quarter results are not directly ccomparable with the prior year due to later timing of the Easter and spring break holiday this year. To normalize for this counter shift, I will speak to attendance and revenue trends through the end of April, which will provide you with a better understanding of our early season trends. Preliminary net revenues through the end of April achieved a new record high of $124 million up 2% when compared with the first four months of last year. During this time, guest spending is up 2%, well attendance was comparable with last year's record number of visits. As I expect you anticipated, Knott's Berry Farm's first quarter performance was below expectations due to the drought-correcting rains in California. However the continued growth and the popularity of Knott's Boysenberry Festival and return to more normal Southern California weather resulted in record attendance revenues and per caps in April for Knott's. Similarly, several of our early opening seasonal parks gotten of solid starts helping to drive the strong April results. Kings Dominion, our park in Richmond, Virginia had its best April in years. While Carowinds in Charlotte North Carolina had its strongest single weak for spring break in the park's history continuing to validate our confidence in this park's long-term potential. Meanwhile, our newest wooden coaster at Kings Island opened to rave reviews with the park's seasonal pass holder event being the best attended attraction opening in the park's history. This great thrill ride combined with intriguing story line and digital special effects is clearly hitting the mark and positions the park for what should be another great year. We recognized that this time of year, our investors are looking for data points that may prove predictive of our annual results. I would remind you that more than two-thirds of our attendance comes from advance purchase commitments including season pass sales, group bookings, resort reservations and purchases made on our e-commerce platform. To-date approximately 50% of anticipated season pass sales have been made while bookings for hotel rooms and group outings are little earlier in this cycle. Our top line message is that early season trends and advance purchase commitments continue to support a very positive outlook for 2017. Season pass revenue is up 10% with both unit prices and unit sales up nicely. Also every one of our all season products including food, beverage and photo continue to grow in volume and penetration rates. Meanwhile team registrations at the new Sports Force Parks at Cedar Point are well ahead of our first year expectations. We expect to build on this early season momentum when two of our largest investments this year, the renovation, expansion of our separately gated water parks at Cedar Point and Knott's Berry Farm open at the end of May. Cedar Fair's disciplined attention to detail will be obvious to our guests as we've taken this opportunity to not only add new thrill slides but also wet playground specifically designed for young families, new food facilities with shaded seating areas, new bars, hundreds of new chairs and umbrellas and expanded amenities such as private cabanas. These changes will drive near term results and will serve us well for many years to come. These early season reference points along with the other new attractions that I will discuss later. Allow us to remain confident that we will achieve our FUNforward 2.0 goal of $500 million of adjusted EBITDA by the end of 2017, a year earlier than planned. Now I will turn the call over to Brian to discuss the first quarter results in detail. Brian?
Brian Witherow: Thanks Matt. As Matt briefly touched on earlier, first quarter represents less than 5% of our full year net revenues. Given the seasonal nature of our business the majority of our revenues realized during 130 to 140-day timeframe beginning in our second quarter. Most of our revenue is concentrated in the peak vacation months of July and August and in recent years that has been supplemented with growing amount of revenue stemming from our popular activities surrounding the Halloween season and more recently with our WinterFest celebrations. Our first quarter results were slightly softer than our internal expectations due to the drought-correcting rains in California. However, with the success of our spring time events in April we're now slightly ahead of where we expect it to be, for this time of year. Net revenues for the three months ended March 26, 2017 were $48 million compared with $58 million in the first quarter a year ago. The decrease was primarily driven by the timing shift of the Eastern spring break holidays which occurred in the first quarter of 2016 as well as a decline in the first quarter attendance due to the record rainfall in Southern California. To a lesser extent 2017 also did not have the benefit of the Super Bowl events we hosted in January of 2016 at our California's great America amusement park. Looking at preliminary results through the end of April, which as Matt indicated normalized due to the calendar shift associated with the later timing of Easter and spring break, early season net revenues were $124 million up 2% or $3 million when compared with the same four-month period last year. We are pleased with the early season strength in our average in-park guest per capita spending, which is up 2% while at the same time being able to maintain our record attendance levels we experienced during this time last year. Looking at longer lead indicators for a moment, our advance purchase commitments including season pass sales, group event bookings and the sale of all season products such as all season dining and all season beverages are trending up from the same time last year. This positive momentum is reflected in our deferred revenues which are up approximately 10% through the first four months of 2017 when compared with the same period last year. Operating cost and expenses for the first quarter totaled $117 million comparable with the prior year quarter and in line with our expectations. I should note operating cost for the first quarter include normal off season operating maintenance and administrative expenses at our seasonal amusement and water parks and daily operations in Knott's Berry Farm and Castaway Bay. Before I turn the call back over to Matt, I would like to give a nod [ph] to our corporate finance and corporate legal teams who along with our banking partners help solidify our capital structure for the next several years. As many of you have seen in the beginning of April we announced the completion of $1.5 billion refinancing which included the issuance of $500 million in new tenure, senior unsecured notes, a new 7-year $750 million term loan and a new 5-year $275 million revolving credit facility. We were very pleased with both the favorable rates and tenure we were able to secure which locks in historically low rates for a longer period of time. Our average cost of debt going forward is expected to remain inside of 5.2% with our nearest term maturity being a revolving credit facility in 2022. For modelling purposes, cash interest cost are expected to be between $85 million to $90 million for the foreseeable future. Overall, we're very pleased with our results of April and the early season trends in our advanced purchased commitments. Which puts us on pace to deliver our eighth straight record year. Last Friday, we celebrated 30 years of trading on the New York Stock Exchange since going public in April of '87, our focus has been and always will be on optimizing the use of free cash flow to maximize unit holder value in both the short and long-term. This includes making strategic high ROI capital investments at our parks in continuing to grow our distribution, which currently represents an attractive tax advantage yield of approximately 4.8%. This strategy has allowed us to operate through several recessions while still delivering a 17% compound annual total return to investors over this 30-year period. We believe we're well positioned to continue that success for the foreseeable future. Now I'll turn the call back over to Matt.
Matt Ouimet: Thank you, Brian. As you've heard from us today early trends and advance purchase commitments guest spending and attendance through this past weekend, all support our positive outlook for the year and our confidence that we will achieve our $500 million adjusted EBITDA goal in 2017. We also expect new investments will contribute to top line growth over the long-term. In 2017, you will see more example of investments that will add to our bottom line in the current year and for the years to come. Notably this includes the recently opened amateur sports facility at Cedar Point. Based on tournament registration to-date, we're forecasting the number of teams participating in this first year will easily exceed our first year expectations. Equally important the comments from the players, coaches and parents confirm this is absolutely one of the finest amateur sports experiences in the country with teams already making plans to return in 2018. Much of the credit for the successful launch of the sports complex goes to our operating partner Sports Force. They have delivered a world-class facility and now had matched it uncompromised commitment to operating excellence. When Cedar Point opens this weekend, we will also be opening our recently renovated expanded and rebranded Cedar Point Express Hotel. This investment will enhance the peel of the park as a regional resort destination for many years to come and the additional 69 rooms will take advantage of the demand from the new sports complex. I've already mentioned a very successful opening Kings Island had with their new world class wooden roller coaster Mystic Timbers. We are equally pleased with the guest response to Patriot a new coaster experience at California's Great America. Similar to Rougarou at Cedar Point in 2015, we took an older less popular stand up roller coaster and converted it to a floorless coaster, this ride conversion is extremely cost effective, adds capacity and is highly marketable. We're excited about the potential it represents at Great America, this year. As I mentioned earlier, at our two largest park Cedar Point and Knott Berry Farm, we're making sure the adjacent water parks deliver the same quality guest experience as their counterparts do. We know that water parks have broad family appeal. We design the parks for all ages and we have found over the years, whenever we invest in water parks we see a direct correlation to the growth of our premium season passes. Along with the expansion and renovation of resort accommodations at Cedar Point, the water park allows us to further expand our geographic draw for those guests looking for multi-day vacation. Given the large scale of these projects, we were able to incorporate elements specifically design to encourage and accommodate expanded guest spending. Most notably, our food and beverage facility are now centrally located, are capable of high volumes and have expanded menus. On another front, at Worlds of Fun our park at Kansas City Missouri, we've opened the latest of our modern catering facilities, which service our growing group business. We also took the opportunity to create a welcoming and efficient front gate experience with a nod to the park's history and unique brand. In regards to our multi-week seasonal events, we've received an impressive response to our [indiscernible] to the operating season at three more parks this year - Kings Island, Carowinds and Worlds of Fun with WinterFest celebrations. While difficult to isolate, we're confident the announcement of these events has served as a catalyst for our favorable season pass sales at these parks. I'm proud of decisions we've made to drive our business in 2017 and we're confident this will be another record year for Cedar Fair. Well we are laser focused on 2017, construction has already begun on multiple high impact tractions that will come online in 2018. As we look to build on Cedar Fair's history we'll adding to our collection of world class coasters including a completely new type of coaster, a dramatic transformation of two of our historical wooden coasters and a renewed relationship with a manufacturer who we have worked with recent history that will add another coaster and deepen our pool of ride manufacturers. It is this type of innovation that will allow us to continue to grow beyond our near term goals. In any given year, the three primary drivers of our top line performance are appeal of new attractions. The products we offer in the parks that encourage incremental spending and the effectiveness of our marketing and sales programs. Well we've have talked in depth today about the first two drivers, I don't believe we've given enough credit to the impact of our multi-year marketing campaigns, that have driven so much of our recent success. We continue to move forward with our branding initiatives, will be founded and embracing the heritage of our unique brands and strategically operationalizing [ph] those brands lead to a guest experience unmatched by other generic amusement parks. We've now completed an in depth brand analysis six of our 11 amusement parks. As we've discussed in the past, this analysis directly informs our investment strategy, works across all departments and functions and supports strong consumer loyalty. For example, our branding work at California's Great America is referenced on a daily basis as we move forward with our long-term strategies as park, now that the rezoning has been approved. We see many opportunities positioned as park, as the Bay Area's backyard and a place for family and friends look together and connect on a regular basis during all times the year. Finally, as a result of our branding initiative and as our e-commerce platform continues to grow, we are introducing new websites across all of our parks. Most are already up and running with all parks sites expected to be updated with the new format by the end of this month. Our new park websites that are greater visual design which we believe creates an impactful first impression and enhance guest engagement. These new sites allow us to have targeted conversations depending on the individuals interest and family dynamics. This in turn allows our guest to quickly sort to the offers most relevant to them. I encourage all of you to visit some of these sites yourself including Cedar Point, Canada's Wonderland and Carowinds. With that, we now open the call for questions.
Operator: [Operator Instructions] we'll take our first question from James Hardiman with Wedbush Securities.
James Hardiman: The 2% revenue growth, let's forget about the first quarter but focus on the first four months, because it's little bit more normalized of a number. It still sounds like you think that number would have been better in the absence of some bad weather earlier in the quarter. I guess put another way, it kind of sounds like you expect that 2% to accelerate over the remainder of the year or I'm not looking it at the right way.
Matt Ouimet: Yes. I think, you're looking at it the right way James. We had a really strong April and so given what we saw in the first three months in California which I appreciate the acknowledgment that it's only [indiscernible] park at that point. I think that we are very pleased with what happened once the weather normalized and obviously this [indiscernible] with the calendar shift as well.
James Hardiman: Got it and then, obviously you guys don't give guidance in most years, but we've essentially got guidance with this $500 million.
Matt Ouimet: Yes, we've kind of consolidated that at this point, I understand.
James Hardiman: Exactly. So I guess I was wondering as I think about at least call it 4% growth in that adjusted EBITDA number for this year, it seems very doable. But how should I think about the various components, anything you can tell us attendance versus per cap versus margin expansion. I know some years you have to call inaudible based on what you see as the season develops. But sort of high level, how do you think about those various levers this year?
Matt Ouimet: James I think, I would say to you that our expectation is probably very similar to where we ended up last year. I think we're working really hard to be able to grow attendance at the same time as you grow per cap and squeeze a little bit of margin out as well. As you know the margin is important to us, but we tend to reinvest substantially and the guest experience to continue to drive a premium per cap. But I'd say, if I elevated all the way up this year I think our expectations would be similar to what we saw last year.
James Hardiman: Got it and then lastly, from me. It's hard enough to figure out the revenue impact of the Easter shift, but maybe help us a little bit with the cost impact. I'm assuming that, most of the park you still have to have the operating expenses in place even if Easter is getting pushed out. I guess I ask more with respect to trying to figure out, how to model 2Q in the margins and maybe there is a benefit in 2Q where is it, was a headwind in 1Q. Anyway to think about how will that flow through?
Brian Witherow: James this is Brian. I think you hit on it a little bit there. With calendar shift, clearly there's some variable cost that are associated with the attendance that moved along with that calendar shift. That said, the majority of the parks are in there as we said on the call, sort of in there preparing for the upcoming season. So the dollars, those dollars sort of reside, where they reside there is not a lot of shift associated with that. As I mentioned on the call, we didn't host Super Bowl events this year like we did last year, so there was a little bit hit for the revenue line related to that, but at the same time some cost savings at Great America, now offsetting that however were some cost associated with taking down the WinterFest events if you will at Great America as we prepare for that park's opening late first quarter. So all in all, I would say operating cost, little bit of savings related to the loss of attendance at Knott's Berry Farm because of the weather and some of the calendar shift, but mostly of our downtime costs are going to stay where they reside irrespective of the calendar.
James Hardiman: But is it safe to say that margins were hurt in 1Q and will benefit somewhat in 2Q from the Easter shift?
Brian Witherow: The dollars are so small, I wouldn't say it really had any meaningful impact one way or the other around - as it related to margins.
James Hardiman: Okay, got it. Thanks guys.
Operator: [Operator Instructions] we'll take our next question from Chris Prykull with Goldman Sachs.
Chris Prykull: Just had a couple related to some of the longer term initiatives that you've outlined, maybe starting with the sports complex up at Cedar Point and understanding it's still early given the Park itself isn't open, but can you give us any details in terms of what you're seeing around turnout at the new sports complex, average number of teams, the number of players and then the guest that they actually bring along with them and then any expectations for sort of hotel and park attachment once Cedar Point opens.
Matt Ouimet: Chris this is Matt. Good talking to you. Look I'll give you some broad kind of feedback on that but it's so early we really don't have any metrics that we'll be comfortable giving you the model. But look, we're very encouraged by what we've seen the awareness and demand for the complex, is ramping up a lot faster than we anticipated. We got lot to learn as I referenced and so we're not going to talk about attendance and hotel forecast. What I can tell you, is Sports Force released publicly recently that, they're forecasting more than 1,000 teams in the initial year and keep in the mind the majority of these teams come from outside Ohio and we believe that the associated attendances from the teams as well as their entourage is largely incremental as if, they weren't at this complex, they'd probably be playing ball at some other complex. So we're out of the gates good. What I also add, is that we're inactive, I would almost characterize them as late stage negotiations and other complexes like this. They are public financing supported and so therefore, they take a longer time to put together and they had a little uncertainty associated with it. But we've got couple others that we're looking at hard and we just launched feasibility studies that two of our other parks relative to this. So I think you can read through that, there are early season indications is that, this is going to be successful metric for us. We'll have a lot more for us, as we get into the peak playing periods of July and August.
Chris Prykull: Great, that's really helpful. Thanks and then on, the next one I just had on group catering. I know you have expanded different certain parks. Can you just remind us, what group represents as a percentage of either annual attendance or revenue and then can you give us, any read on the impact from the expansions to group bookings for 2017?
Brian Witherow: Yes, sure Chris. This is Brian. As it relates, as we said on the call when you put together season pass group bookings that are date or time, window specific and then the advance purchases on the web through our e-commerce portal. We're looking at more than two-thirds of our attendance as pre-booked or advance purchase commitment associated. Group fits in, season pass is the biggest chunk of that we've probably stated it last year that ended somewhere around mid 40%, so 45% or so. Group slots in lower than that, but it's probably on average across the system going to be in the mid-teens maybe if some of the park's as highest 20% of our attendance. We're pleased as Matt said on the call. Season pass we're about 50% through the full year sales cycle on hotel reservations and group bookings, we're little bit earlier in their cycles. But the early trends on group bookings to-date are ahead of last year, which was a strong year for us. So we're encouraged by where we are at this point.
Matt Ouimet: Chris, the other thing is, the investment in the catering facilities and these hiring of executive chefs have allowed us to drive up the per cap that we get from that business and that's one of the reasons you see, we - be able to continue growth per cap.
Chris Prykull: Thanks, that's really helpful. If I can just squeeze one more in, can you give us an update on the potential opportunity and sort of what the planned investment might be at Santa Clara and then how quickly you plan to move on the opportunity, I know it's still early though.
Matt Ouimet: No, I appreciate the acknowledgement that it's early. Doesn't feel early in our offices and Richard would acknowledge that, we're meeting almost daily on Great America so actively and aggressively working on our plan. What I can tell you, is I would expect to be able to have more specifics for this audience when we produce our new long-term plan either later this year or early next year. So at this point, we still - we're dug in hard on it, we need to develop the plan, we need to develop the phased plan and all of the things that go with it. So very complicated site, which in the end makes it very valuable and so, I think you can expect more out of us, when you see the new long-term plan either later this fall or early next year.
Chris Prykull: Thanks so much, good luck into the summer.
Operator: And we'll take our next question from Steve Wieczynski with Stifel.
Steve Wieczynski: So wanted to go back to the rain impact, that you talked about it Knott's in the first quarter and I'm not sure, if you had this number or you have an estimate. Do you know what the actual impact was on attendance at Knott's and then I guess the second part to that, is I'm not sure if you said this or not, but have you seen announced a nice bounce back in attendance at Knott's in April once weather essentially normalized.
Matt Ouimet: Yes, so we won't give you a number for rain because that would be, I think that would be a little bit more like speculations at this point and by the way, I'm not talking about weather this year unless I have to. What I will tell you, is I did have in my prepared comments Knott's had a record April. A record April on attendance, a record April on revenue, a record April on per caps and so there was no doubt my mind anyway that once the dust cleared that park is still performing extremely well. It's unusual for us to give you as much data as we did about April, but you can go back and see the acceleration in April, if you look at the numbers from the first quarter versus the fourth month numbers, we gave you.
Steve Wieczynski: Okay, got you and then the second part, I think you talked about the in-park caps were up about 2% through April, if I heard you right and I was wondering if, you could break that down a little bit more in terms of what folks are actually spending on. I guess the better way to ask that is, is there been any surprise in terms of, of what folks are spending on, this year relative to last year?
Brian Witherow: This is Brian. We're not going to give specific detail around the per cap. What I will tell you is that we're pleased with the trending that we're seeing across the channels, not only at the admission line but also through the in-park spend F&B, merch, etc. one of the things that is driving some of the admission per cap increases, the pricing increases that we've taken at the front gate that we continue to believe we've got tailwinds, as well as the deepening penetration rates on some of the all season programs and quite honestly a migration to up in product selection by the guests. Matt mentioned the introduction of or the renovation and expansion of our water parks at two of our largest parks Cedar Point and Knott's Berry Farm that is a big driver for people migrating up from what we call regular passes through either platinum or gold, so you get access to those water parks. So everything is working on that front and we're pleased with the per cap numbers in each one of the channels. But it's very early, it's a small sample size.
Steve Wieczynski: Okay, great. Thanks guys appreciated.
Operator: And our next question will come from Tim Conder with Wells Fargo Securities.
Tim Conder: Couple here. Brian, just more of a housekeeping item. Any quantification you can give us on the Super Bowl benefit to Q1, 2016 just from a comparable perspective?
Brian Witherow: Hi, Tim. As we said last year, while it was exciting to host those things and have the folks see the park and be part of the Super Bowl 50, it was not a meaningful or material number, we said at the time it was in the low single-digits in terms of its contribution at the revenue and EBITDA line.
Tim Conder: Okay, fair enough. And Matt again I appreciated it from the earlier question that it's still early as far as post of the rezoning in Santa Clara but and appreciate also the uniqueness of that park with lot of I think significant infrastructure related planning. Where should we see, I mean should we see something late this year, early next year as far as literal construction and changes starting at Santa Clara and again, you'll give more details when you gave the long-term outlook.
Matt Ouimet: No, yes. You'll actually see activity later this year. In fact there is some, I know for a fact there's some construction stakes already in the ground out there. So you'll see that start to ramp up later this year Tim.
Tim Conder: Okay and then, on other initiatives here. Hotels. You all talked before Charlotte, Toronto being potentially some top targets here working with the potential flagged partners. Just an update as to where that stands at this point in potential timing as when we could hear some announcements on those.
Matt Ouimet: Yes, so Brian is helping to lead this, but I'll tell you we're in the red zone. We're at the final stage of the development committees that approve these deals for the brands and so I would hope by the next time we got together, we would have the announcements for you. There's something it can always be a delay, but we're in the red zone as Cleveland football players like to say I guess or football fans like to say. So next time we get together we should have an announcement on that Tim.
Tim Conder: Okay, sounds good. And then, I know hopefully the Cleveland fortunes will turn around in the not too distant future, the football team.
Matt Ouimet: There is always next year Tim.
Tim Conder: Augmented reality. Some in-park opportunities there that you talked about before, just an update augmented reality versus VR and you evaluate both it tend to - it sounds like to be leaning a little more towards augmented based on some prior comments.
Matt Ouimet: Yes, so augmented will be in place again at Cedar Point this year, it's expanded we found a way to gamify it to a greater level and so I've got - I think we're going to have even more guests enjoying it this year and it got very high ratings last year and we've also introduced, I believe it's Kings Dominion, right? So at Kings Dominion we also have introduced it and we'll experiment it over the course of the year and refinance [ph]. I'm a big fan of augmented reality because it has literally unlimited capacity for utilization and has the ability to make the park experience more fun. I'll tell you, the most impressive thing I've seen with digital technology this year is what we did with Mystic Timbers. The idea that you can take a high capacity ride that's highly marketable that has broad appeal and added bell and whistle at the end of that ride that was extremely marketable. We got, our video post, the first time we posted the video on opening day or I guess it was media day on Facebook it got 2 million hits and a lot of that was because of the intriguing story line and the bell and whistle associated with the technology at the end. So you continuously see us playing what we call techtainment, but right now I'm excited about high capacity rides that just give a little bit bell and a whistle.
Tim Conder: Okay, great. Best of luck for the season here. Gentlemen.
Operator: And our next question will come from Tyler Batory with Janney Capital Markets.
Tyler Batory: So Matt, I want to go back to a comment you mentioned earlier, I think you said season pass revenue was up 10%, did I catch that correctly? And then can you talk about, how season pass sales have compared to your expectations and what's driving that strength?
Matt Ouimet: I did say 10% combination of units and prices. It is I can tell you, pacing it had where we planned for. The one thing that also, I think you have to take into consideration is and I know somebody comments this morning in one of their reports. Water parks, we tend to see it another spike in season pass sales after the water park's open. So those people who are waiting for kind of catalyst of the message around water parks are another opportunity for us from a season pass standpoint, but you did pick up on the metric correctly.
Tyler Batory: Okay, great and then maybe just a follow-up. I do have a few questions for you on the water park expansions at Knott's and Cedar Points. How does return [ph] outlook or made the potential growth expectations for those expansions compared to a new coaster and then maybe can you remind us, per capital margin difference between a water park and a theme park maybe last, just talk about how those expansion can potentially drive attendance just as we look into '17 here?
Matt Ouimet: So I'll ask Brian to build on what I say. But generally, we found and we've done this several times at this point Richard has been the advocate for this. That water parks I said in my comments had broad appeals. The nice thing about a water park is that any age of family can experience the water park and enjoy the water park, number one. Number two is, people tend to see themselves using the water park almost more than they use the hard ride parks, so it drives season pass disproportionately and in order to get access to the Knott's water park and the Cedar Point water park you have to buy the gold pass, which we are actually seeing a nice shift in people to more premium passes. So that's kind of the catalyst for it and Knott candidly it was a little bit about adding capacity because the peak summer months there have been so successful for us. But, Brian you want to talk about, what traditionally was true about per caps in water parks and what we've done to try to address that.
Brian Witherow: Yes, sure. Tyler, I mean you hit on a big part of the motivation behind the upgrades we've been making to our water parks including these two big expansions at Cedar Point and Knott's Berry Farm. Traditionally water parks have lower per cap spend than an amusement park and it's really a combination of a couple of things. One, I mean you don't, it's not easy that you're running around with your wallet for buying, while you're at the water park, so maybe more importantly is length of stay tends to be a little bit shorter and so I think what you find often is that, and we were guilty of this, that a number of our water parks you sort of anticipate that you're going to have a low per cap spend and then the facilities including F&B, merch, etc. you sort of build accordingly and its self-fulfilling prophecy. We've gone in as a big part of these expansions, has gone back into the water park and tried to put back in place more soft areas for folks to sit, more shade, more umbrellas, more cabanas, more revenue centers, big part of the expansion at both Cedar Point and not, it's about adding more F&B and revenue generating centers to drive better per cap. So when you combine that with as Matt alluded to, clearly there is going to be an uptick in daily tickets, but a big part of the season pass play is getting guess to migrate as I said earlier from regular passes to gold or platinum, those premium passes to get access to the water parks. And so, you put that together with the parks like Cedar Point where there is so many hotel rooms over 1,500 hotel rooms. You're looking at also added length of stay, as a whole second day visit and so that's where the returns really get generated, at on these projects.
Matt Ouimet: Tyler, I just built a little bit. We for a while now wanted to expand the geographic reach particularly at Cedar Point and the renovation of our hotels, along with the dramatic expansion of the water park give Kelley our CMO, the right kind of assets to build into marketing messages. So if you live a little further away from Cedar Point, you're going to start to see some marketing messages that we think are going to be productive for us.
Tyler Batory: Okay, that's great. That's all from me. Thank you.
Operator: And next we'll hear from Barton Crockett with FBR.
Barton Crockett: I wanted to choose a bad time, dive into the water parks theme a little bit more. In particular, it's kind of percolated into a bigger issue I guess for the group, partly with what you guys are doing, partly Six Flags is been talking about [indiscernible] some water parks adjacent to their theme parks in some of the major metros where they operate and have done one thing in the northern Bay Area couple hours north where you, north of California [indiscernible] park. And I was curious, you guys are doing something it's really kind of working on a water park attached to theme parks and now experience Cedar Point, what do you think about the opportunity to add water parks that are separate from your theme parks maybe within an hour or so and maybe have more than one water park in a metro area. Do you see an opportunity there, what do you think about that?
Matt Ouimet: Not an area of focus for us.
Barton Crockett: Okay and it's not an area of - so I was curious about why Six Flags professed some interest and just don't think it's an attractive return or.
Matt Ouimet: Barton, why don't you ask them? Because I think, we got a little different play books, we've been very successful. Where we've been successful is acquiring parks that are family owned, where we were able to go in and use our units as the MLP units work very productively. So any M&A in our front would be, if any of these parks and there is only a handful left that would meet our brand standard. If they became available obviously we would be attracted to that side of it.
Barton Crockett: Okay, all right and then switching gears a little bit. You guys have called out a little bit about April which is great, but since we're kind of parsing [indiscernible] and I wanted to understand the eastern attack a little bit better and we were estimating that could have been 125,000 attendees and I was wondering if you could comment on whether that seems like a reasonable estimate and then if you do the math and what you guys said, your April was up 20%, but if we normalize for Easter, what was kind of the core trend there do you think?
Brian Witherow: Yes, Barton this is Brian. We're not going to give specifics around attendance numbers related to Easter or the Q1, shift. What makes a little bit more challenging to get a pure read through the fact that, the one part with meaningful first quarter operations Knott's Berry Farm was so negatively impacted by the record rainfall in Southern California to start the year, that said I would characterize the way this season has developed as we said in our prepared remarks, by the time we get to end of April and things are normalized in terms of calendar shift, we were little bit ahead of where we thought, we would be we feel really good about that. Still have a little bit of work ahead of us, when it comes to things like season pass sales we're only 50% through, but we feel really good about where we sit at the end of April and so whatever calendar shift existed, whether it be Easter or the spring break holidays that's all behind us and we're in a good place heading into the core season.
Barton Crockett: Okay and then, just a little bit on more on the bookkeeping side. But can you give us an attendance figure for the first quarter? And can you also kind of parse that looks like your effective guest spending per capita was about 2% through April, whether and the attendance was flattish, whether the per cap spending was, the trend was similar for admissions revenue in food and beverage or whether there was some difference there.
Matt Ouimet: Because it's small sample size Barton, we're not going to give the attendance or break down the per cap. It just, the only park that's really active of note, up to April is Knott's and so we just, we traditionally haven't done that.
Brian Witherow: And as it relates to the per cap, Barton as we said earlier pleased with what we're seeing across all of the core spend areas admissions per cap doing well out the chute, but as is F&B spend and merch spend you know as two other example. So feel really good about where we are at, but again as Matt said small sample size, lot of work ahead of us.
Barton Crockett: Okay, that's all clear and congrats on the great start to the year.
Operator: [Operator Instructions] we'll take our next question from Michael Swartz with SunTrust.
Michael Swartz: Just wanted to touch on WinterFest and you have three new programs launching this year. so can you help us just understand the typical ramp of those festivals and maybe just the associated intensive I guess marketing spend at least in the first year and maybe how that evolved as you look down the road two to three years out?
Matt Ouimet: Probably less detailed than you'd like, but let me tell you how we're thinking about it because quite honestly we only have the experience of one WinterFest so far, right. So first I would say that we're going to take these events to scale, which means we're spending a fair amount of capital and operating cost to make sure that the first year experience is what you might typically find in your three-year or four and that worked extremely well for us at Great America so that's number one. Number two is, we do assume that the first year the margins are somewhat suppressed because of the marketing awareness launch that will have to happen, associated with it. But so then if you build off that, will you think we'd moderate that overtime and would grow our attendance overtime and so our expectations for the first year are good. I would say our expectations for the third year are very substantial.
Michael Swartz: Okay that's helpful and just with the sport center. It sounds like attendance and registration trends are better than what would you have anticipated and I think previously you had indicated that you didn't expect a lot of benefit this year from a financial standpoint. So whether you can update your thoughts around just how this could impact attendance, profitability in 2017.
Matt Ouimet: This is a hard one for us Michael because we try to be the guys that produce the results and then talk about it and so I'm little nervous here because I'm excited about it. I got to be honest with you. The communities rallied behind, at the organizations Sports Force has really over delivered for us. I can't give you any numbers, yet the only I said that was publicly out there was at least 1,000 teams and you can kindly do some math around that. And then we're off to see, how well we do at capturing these people and how many times they visit and what their per caps are and where they stay in the hotels, etc. So I don't mean to frustrate you, but I think we'll have a lot more to talk about by the time we get to our second or third quarter call.
Michael Swartz: Okay, that's fair. That's all from me. Thank you.
Operator: And our next question will come from Tim Conder with Wells Fargo Securities.
Tim Conder: Just a quick follow-up here. Brian I don't know if you were just saying, that you still got a lot ahead of you, but just had a little more work to do on season passes. So did you see any deferral out of Q1 and even maybe just because of the overall timing shift and weather. Or is that fully normalized as far as the season pass bookings and then the F&B passes and so forth?
Brian Witherow: Yes, sure Tim. It's a good question. I think when you look at deferred revenues at the end of Q!, you'll see exactly what you just alluded to from a timing perspective. The shift of the Easter and spring breaks not only pushed attendance into the second quarter it also pushed some of our marketing, our CRM efforts out of Q1 into Q2 there is no point in hitting the consumer when they're not ready to be buyers. In a large part, some of the spring sales around season pass and the related season pass products like all season dining and all season beverage are specifically tied to that first visit. So there is no doubt, the Q1 numbers are going to reflect a little bit of that timing shift and then we're back to and that's why we spoke specifically about where we were in terms of deferred revenues being up 10% at the end of April through that first four months because we believe we've normalized. Matt, did allude to and I think it's something to just reemphasize that with the big capital at Cedar Point and Knott's Berry Farm geared around water park expansions. There is definitely marketing efforts, CRM efforts that will be specifically tied to pushing past sales that have yet to hit because we're not going to hit consumers in April for a product that doesn't open until Memorial Day at the end of May, so you can expect, we will expect to see another little bit surge of sales around those passes, at those two particular parks as we get closer to the product coming online.
Matt Ouimet: And Tim you didn't asked us, but building on that. Although there are several factors in play, some of the largest growth in season pass on a percentage basis are the three parks where we're now introducing WinterFest.
Tim Conder: Okay and related to all that to, just to clarification. So 50% of your season pass tickets are sold and those are up roughly 10% you said. The F&B part you said was attracting up year-over-year, should we think of that as attracting in line with the ticket season pass related.
Matt Ouimet: I would tell you that it's greater than that and I'll leave at that.
Tim Conder: And you would anticipate acceleration also, when the water parks open there.
Matt Ouimet: Yes and I think what's really encouraging is that our all season products continue as more and more people get exposed to them, as we change the programs a little bit. We're seeing most importantly an increase in penetration, so season passes are going up that's a volume issue, if penetration is going up you get a multiple factors that relates to the all season product.
Tim Conder: Okay, gentlemen thank you for the additional color. Very helpful.
Operator: It appears there are no further questions at this time. Now I would like to turn the conference back to you for any additional or closing remarks.
Matt Ouimet: So first of all, thanks as always for your interest in ongoing support of Cedar Fair. In closing, it's always important for me to acknowledge our leadership team and our associates. I like to say I not only get to work with a lot of really smart dedicated people, but these same people have instinctively self-imposed standards and it's a privilege for me to work with them. Importantly, I encourage all of you to visit our parks this summer and experience first-hand what differentiates Cedar Fair parks from the other entertainment offerings. Stacy.
Stacy Frole: Thank you, everyone, for joining us on the call today. Should you have any follow-up questions, please feel free to contact our Investor Relations department at 419-627-2233. We look forward to speaking with you again in about three months to discuss our second quarter results.
Operator: That concludes today's conference. Thank you all for your participation. You may now disconnect.